Operator: Good morning, ladies and gentlemen and welcome to the Canadian Natural Resources Q4 2016 Earnings Call. After the presentation, we will conduct a question-and-answer session. Instructions will be given at that time. Please note that this call is being recorded today, March 2, 2017 at 9 a.m. Mountain Time. I would now like to turn the meeting over to your host for today’s call, Mark Stainthorpe, Director, Treasury and Investor Relations of Canadian Natural Resources. Please go ahead, Mr. Stainthorpe.
Mark Stainthorpe: Good morning everyone, and thanks for joining our Fourth Quarter and Year End 2016 Conference Call, we will be discussing our operational and financial results and provide an update regarding our ongoing projects and operations. With me this morning are Steve Laut, our President; Tim McKay, our Operating Officer; and Corey Bieber, our Chief Financial Officer. Before we begin, I would like to refer you to the comments regarding forward-looking information contained in our press release and also note that all amounts are in Canadian dollars, and production and reserves are expressed as before royalties unless otherwise stated. With that, I’ll now pass the call over to Steve Laut. Steve?
Steve Laut: Thanks, Mark, and good morning, everyone. Thanks for joining the call this morning. Canadian Naturals fourth quarter was strong. The strength of our well balanced and diverse portfolio combined with Canadian Natural’s ability to effectively and efficiently execute continues to deliver. Our conventional, thermal and international operations delivered solid results. Canadian Natural grown up production and at the same time effectively lowered our cost structure across the board. A major driver of these strong numbers is Horizon execution. At Horizon production is exceeding Canadian Natural’s capacity of 182,000 barrels a day, with December and January production of 184,000 barrels a day and 195,000 barrels a day respectively. In February production was even stronger at 202,600 barrels a day. Horizon operating cost were also excellent with Q4 cost at $22.53 a barrel and so far in 2017 we’re running roughly $22.50 a barrel. In Q4, cash flow exceeded capital expenditures by $900 million and in Q1, we are running about $230 million a month of cash flow above capital expenditures. As a result, our balance sheet is strengthening quickly. Clearly Canadian Natural is in a very strong position in 2017. As a result we’ve increased the dividend by 10% on top of the 9% quarterly dividend increased announced in November 2016. In addition, the board has approved a normal course issuer bid to buy back up to 2.5% of our stock subject to regulatory approval. A reflection of our strong position at our confidence delivering in 2017 and beyond. The most difficult portion of our transition to long life low decline low decline assets is now complete. As a result, the size and sustainability of our cash flow has increased substantially. With 80,000 barrels Phase 3 set to come on in Q4, we will take another step change upward and sustainability becomes even stronger. In today’s commodity price world long life low decline assets are very valuable and give Canadian Natural a competitive advantage. Reservoir risk is low to non-existent and to scale these operations matter. Allowing Canadian Natural delivers its technology and use continuous improvement processes to maximize utilization, reliability and deliver ever increasing effective and efficient operations. In addition, we’re able to use Canadian Natural size to drive economies to scale. Combining on long life low decline assets with our deep inventory of low capital exposure assets allow Canadian Natural to generate significant sustainable cash flow and the potential to grow production in the 6% to 8% CAGR range and the same time, it has strengthened balance sheet, provide increasing returns to shareholders and capture acquisition opportunities, if they fit, make sense and add value. Canadian Natural strengths and strategies are intact. And we’re effectively executing as a result, Canadian Natural is a unique E&P company. In the fourth quarter Canadian Natural delivered 859,000 BOEs a day and strong cost performance with operating cost down in all areas except thermal which was impacted by higher gas prices. As you know, Canadian Natural’s operating cost are top tier. Funds from operations were solid and just under $1.7 billion or $1.52 a share. [Indiscernible] regenerated $2.2 billion in Q3, 2014 WTI oil prices were double at $97 a barrel and ACO gas prices were 50% higher at $4 a GJ During this slow period which began Q3, 2014 Canadian Natural has since that time grown production by 16% or 122,000 BOEs a day, we completed the most capital intensive and complex portion of the Horizon expansion roughly $4 billion of capital was spent with no immediate production impact in these two years. And we have lowered the overall operating cost structure by 19% and the capital cost in the 25% to 35% range. We’ve done this without cutting dividends, issuing equity and importantly maintaining our investment grade ratings. This reflects the effectiveness of our strategy, the robustness and quality of our asset base and infrastructure and our ability to execute. As we said many times in the last two years we expect to come out of this period stronger than we entered and this is exactly where we are today more robust and sustainable. As we look forward, Canadian Natural being stronger and more robust. Horizon Phase 3 execution is right on track to add 80,000 barrels a day of production early in Q4, 2017. Since Horizon is largely a fixed cost operation, we anticipate another step change reduction in operating cost. In our view, Horizon oil sands mining and upgrading operations are very effective and combined with a long life no decline nature of the assets with no reservoir risk, make Horizon competitive with any oil play in the world. Canadian Natural strategy combines our well balanced asset base as strong teams focus on execution is very effective and continues to deliver. Although you hear me say this at every conference call, it’s important to highlight the strengths and the unique nature of our asset base. Starting with the important impact of long life low decline assets have on our sustainability, with our larger portion of Canadian Natural asset base being long life low decline assets, our average corporate client rate drops to 11.7% in 2018. As a result our maintenance capital whole production flat is significantly less compared to a typical E&P company. Making Canadian Natural more robust and turning more free cash flow. The size, scale and diversity of our assets matters in today’s world, allowing Canadian Natural leverage our infrastructure and economies of scale to drive effective and efficient operations. Canadian Natural has a unique combination of asset base strength, diversity and balance. Combines our strategy and competitive advantages, effective capital allocation and a management team that’s more aligned with our shareholders than any of our peers allows us to deliver the best of all worlds and delivering the best of all worlds means delivering sustainable production and substantial free cash flow from a long life low decline assets that are very resilient to price volatility. It also means delivering high returns from Canadian Natural’s large high quality inventory of capital exposure projects and primary heavy oil, natural gas and light oil in Canada and Cote D'Ivoire which provides significant capital flexibility, quick pay outs and high return on capital. Particularly where we can leverage our infrastructure advantage to keep cost low. Canadian Natural maybe the only company in our peer group that has quality in both asset types the technical and operational expertise to execute in both types and to deliver effective and efficient operations and importantly the discipline to effectively allocate capital to goal production and maximize cash flow. The strength, size and power of both assets types combined with effective capital allocations makes Canadian Natural very robust and maximizes cash flow. A key component of Canadian Natural strategy is to balance and optimize the allocation of cash flow to maximize value for shareholders. We strive to balance and optimize what we call the four pillars of cash flow allocation, balance sheet strength, returns to shareholders, resort development and opportunistic acquisitions. How we balance the pillars depends on where we are in the commodity price cycle, where we are in our transition to long life asset and other potential opportunities. At all times, the primary goal of bouncing the four pillars is to maximize shareholder value, with free cash flow increasing roughly $230 million a month in Q1, we’re effectively balancing the four pillars to maximize shareholder value. The balance sheet is strengthening quickly. And with two increases in dividend in last five months as well the normal course issuer bid approved by the board reflects our commitment to returning value to shareholders. In addition, we continue to lower the cost structure and grow midpoint production at 6%, balancing the four pillars of cash flow allocation to maximize value for shareholders. As you can see, Canadian Natural is in a great position and we have demonstrated that we are now more robust and sustainable. With that I’ll turn it over to Tim for an update on our operations. Tim?
Tim McKay: Thank you, Steve. Good morning everyone. I will now do a brief overview of our assets and talk to our 2016 fourth quarter and year end results. Starting with natural gas, our fourth quarter production of 1.646 BCF a day was essentially flat to Q3 production. During the quarter we were impacted by the third party plant where we averaged only 76 million cubic feet per day of natural gas sales verse our 176 million cubic feet per day of capacity. Currently we’re producing at a constrained rate of approximately 120 million cubic feet per day. Our North American natural gas operating cost were down about 9% when comparing Q4, 2016 to Q4, 2015 also in comparing our annual operating cost of about 12%. We have a year-over-year reduction of 12% when compared to 2015. Overall for 2017, we target our North American natural gas operating cost guidance to be $1 to $1.20, a further 2% reduction from comparing mid quarter guidance. For Q1 activity we’re targeting 15 net natural gas wells, 10 which are targeting the liquid rich Montney and our Septimus and Gold Creek areas. Our program is focused low cost tie-ins to our own and operated infrastructure as well we’ve been able to assure low during the completion cost by being organized and proactive in our execution strategy. Q1, 2017 natural gas guidance is targeted to be 1.7 to 1.74 BCF a day up 74 million cubic feet per day or 4% more over Q4, 2016 volume. Our North American light oil and NGL production in Q4, 2016 was approximately 88,000 barrels a day down 3% from Q3, 2016 and is flat when compared to Q4 2015. In all areas, we’re continued to optimize our water floods and continue to improve our operating cost which were down 9% when comparing 2016 annual operating cost of $13.48 a barrel versus to 2015 of $14.88 a barrel. Q1 we’re targeting 23 net wells, 10 wells are in Southeast Saskatchewan and the balance being between Northwest and Southern Alberta. Offshore Africa production was 21,689 barrels a day, a decrease of Q3, 2016 as the well is declined from a very successful drilling program that was completed in Q1, 2016. As well drilled in the quarter we completed a planned turnaround, shutdown on the FPSO for the Baobab field. Operating cost continue to decline with 2016 annual operating cost averaging $18.48 a barrel down from 2015 average of $33.32 per barrel. In the North Sea we continue to leverage our ability to deliver the effective and efficient operation by improving reliability, optimizing the water floods and enhancing production capacity. When comparing Q4, 2016 of 24,085 barrels a day versus Q3 2016 of 23,450 barrels a day we’ve mitigated decline in the North sea which is a great result. Operational improvements are continuing to help reduce our operating cost in the North sea which are down 33% from 2015 on a yearly basis, with the positive tax change the UK government completed last year, we’ve started a four well drilling program the first well is drilled with 53% reduction over previous cost and is waiting on an injector to be completed later this month. Q1 production guidance is 43,000 to 47,000 barrels per day. Our heavy oil production was strong as expected and was approximately 6% lower than Q3, 2016. Q4, 2016 production we averaged 96,675 barrels a day versus Q3 average of 102,484 per day. In the fourth quarter we drilled 69 net wells from a very large inventory and results have been good with the average of 50 barrels per well per day. The program is very robust economically as our drilling and completion cost and facility cost are down approximately 25% from 2015 cost. And we’ve been able to maintain these costs last year and into 2017. Our heavy oil operating cost continued to be industry leading where we continue to drive effectiveness and efficiencies in this core area levering our infrastructure. Annual operating cost for 2016 of $13.55 per barrel was achieved down 10% from 2015. Q1 we’re targeting 118 net wells across our extensive land base. A key component of our long life low decline transition is our world class Pelican Lake pool, where our leading-edge polymer flood is driving significant reserves and value growth. Q4, 2016 production was 47,531 barrels a day essentially flat to Q3 average of 47,608 barrels a day, we continue to execute wellbore clean outs on injectors, producers in the field and the results have been very good. We’re seeing response declines are flattening and in some cases production is increasing. The Pelican Lake we’ve been able to take our industry leading operating cost down further 9% with 2016 annual operating cost of $6.60 per barrel when comparing 2015 operating cost of $7.24 per barrel as a result of our low decline and very low operating cost Pelican Lake have excellent netbacks and recycle ratio. Q1 we’re targeting to drill three wells by the end of the quarter. In Q4, our thermal operation properties combine to produce 129,328 barrels a day. Our Kirby South project had an excellent quarter producing approximately 39,400 barrels a day with a very good thermal efficiency SOR of 2.56. Our 2016 annual operating cost were excellent at $9.33 per barrel including fuel which is 26% reduction in 2015 cost of $12.67 per barrel. At Primrose Q4 production was strong as we continue to convert wells in the area to steam flood. Response is been very good with current production of approximately 32,000 barrels a day. Our thermal operations continued to be effective and efficient with $11.93 operating cost including fuel for Q4, 2016. For Q1, we’re targeting a small program of eight wells related to SAGD operation in our Wolf Lake area. Kirby North the RFP’s for the facility are out and we’ll reviewing these estimates later this month. Q1 production guidance is 127,000 to 133,000 barrels a day. At Horizon fourth quarter, 2016 we produced a record 178,063 barrels a day very close to the name plate capacity of 182,000 barrels a day, the ramp up of 2B was successful and we continue to control our cost with a record low Q4 operating cost of $22.53 per barrel. As a result, our 2017 annual operating cost are targeted to be between $24 and $27 a barrel, $2 lower than our original budget guidance. In 2016, we completed 2B on time and below its original budgeted estimate for 2016 a great result by our teams. We continue to progress Phase 3 in that same disciplined manner and look to complete it, in Q4, 2017. Phase 3 is on track and cost remain unchanged from our 2015 estimate of just over $1 billion to complete, bringing the total target capacity of Horizon to over 150,000 barrels a day in Q4 of this year. With Phase 3 on production, we’re targeting another step change in operating cost with December targeted to be under $20 a barrel. Horizon reliability is been very strong with January averaging approximately $195,000 barrels a day, February close to 203,000 barrels a day as our teams have done a great job ensuring the liability and understanding the capacity’s constraint of the plant, as such our first quarter guidance is very strong at 192,000 to 200,000 barrels a day. Looking ahead to Q2, we have planned maintenance on our diluents recovery units that will impact the month of April which is reflected in our previous full year guidance. In summary, Canadian Natural’s is an effective and efficient operator. Our position that is been enhanced by our ability to realize significant gains in optimizing our production and recuing our cost to company. We’re continuing to look for ways to become more effective and efficient and further reduce our cost in 2017. We will continue our focus on safe, reliable operations and enhancing our top tier operations. I will now turn it over to Corey for the financial review.
Corey Bieber: Thank you Tim and good morning, everyone. As you’re all aware commodity pricing in 2016 was challenging with WTI averaging about $43.37 a barrel and ACO [ph] natural gas pricing sub $2. However despite these very low commodity prices and spending above $1.9 billion on Horizon expansion capital our net debt remained essentially flat versus prior year levels, well at the same time we delivered flat entry to exit production growth 4% proved reserve growth and an increase dividend to shareholders. In Q4, 2016 fund flow from operations were approximately $1 billion in excess of our net capital expenditures and our dividends. After working capital changes, this resulted in over $700 million in hard debt repayment as partially offset by FX losses on US debt of $220 million. We were steadfast in our commitment to delivering Horizon Phase 2B expansion on time and on budget and delivered a quick and efficient ramp up beyond name plate capacity. As such in Q3, we reached at an inflection point where major project capital spending dropped and additional production would bring in new cash flow. Result of this along with more constructive commodity pricing was quite striking. With our focus on cost control and effective and efficient operations, we returned to profitability with $566 million in earning during the fourth quarter. Additionally, during the fourth quarter the company completed the sale of non-strategic ownership interest in the Cold Lake pipeline for good value and an accounting gain of $218 million, again highlighting the number of internal financial levers that we have at our disposal. Furthermore, as expected our trailing 12-month debt-to-EBITDA declined from Q3, 2016 3.9 times to 3.6 times at December 31 and based on current strip pricing I would expect this metric to exit Q1, 2017 at about 2.8 times. Our debt metrics are rapidly improving and all things being equal at strip, it will continue to improve through 2017 with debt-to-EBITDA exiting under 2 times and debt-to-book cap in the range of 35% at the end of this year. Liquidity at the end of 2016 was strong $3 billion further bolstered by numerous financial levers which the company has at its disposal and a modest commodity hedging program. And in 2018, we will further benefit with the completion of the Horizon Phase 3 expansion essentially completed. At this point, we would target our annual decline rates to be in the 11% range with annual capital expenditures of both $2.4 billion to $2.7 billion required to maintain flat production. This significance to reaching this inflection point and the confidence the company has in being able to successfully complete Horizon Phase 3 over the next year resulted in the Board of Directors increasing the level of quarterly common share dividends by 10% to $0.275 up from $0.25 declared in November 2016 and up 19.6% from the $0.23 declared in August, 2016. We have and continued to deliver our defined growth plan and have proven depth that navigating volatile commodity prices. As we move forward, we’ll continue to demonstrate balance and optimize our four pillars of cash flow allocation. Balance sheet strength were showing debt reduction and very strengthening credit metrics. Returns to shareholders demonstrated by today’s 10% dividend increase and a targeted new NCIB. Resource development reflected targeted 6% production growth in 2017 and our opportunistic acquisition, should they become available and make economic sense. In short our unique asset blend has helped us to weather the volatility of the recent commodity prices. Our long life low decline assets underpin our financial resilience and provide more financial stability to these cash flow. The strong base to cash flow can then be augmented by our robust portfolio low capital exposure development opportunities which typically provide quick payout and further enhance returns for shareholders in the right price and cost environments. When we couple this robust and balance the asset base with our operational excellence and our strong corporate culture. It gives me confidence that our exceptional track record of value creation for shareholders will continue into the future. Steve, back to you.
Steve Laut: Thanks Corey. As you heard this morning Canadian Natural has a unique combination of asset base strength, diversity and balance. Combined with our strategy and our competitive advantages, the effective capital allocation and a management team that is more aligned with our shareholders than any of our peers, allows us to deliver the best of all worlds in long life low decline and low cap exposure assets. Canadian Natural maybe the only company in our peer group that has quality in both asset types, the technical and operational expertise to execute in both asset types and to deliver effective and efficient operations and importantly the discipline to effectively allocate capital, to grow production and maximize cash flow. The strength, size and power of both asset types combine effective capital allocation makes Canadian Natural very robust and maximizes cash flow. We strive to balance and optimize the four pillars of cash flow allocation to maximize shareholder value. Balance sheet strength, returns to shareholders, resource development and opportunistic acquisitions. With free cash flow increasing roughly $203 million a month in Q1, we’re effectively balancing the four pillars to maximize shareholder value. The balance sheet is strengthening quickly and with two increases in dividends in last five months as well as over course issuer bid approved by the board yesterday reflects our commitment to returns to shareholders. In addition, we continue to lower the cost structure and grow midpoint production at 6%. Canadian Natural is in a great position and is now more robust and sustainable and the future looks even more robust and sustainable. With that we’ll be happy answer any questions now operator.
Operator: [Operator Instructions] your first question comes from the line of Philip Gresh with JP Morgan. Your line is open.
Philip Gresh: My first question is just on the return of capital. If you go back to the 2017 outlook call that you had not too long I had asked about return of capital back then it sounded like you had a dividend buyers in terms of potential increase in the dividend, but the turnaround buybacks at the time is maybe a little bit more muted to obviously, you’re taking another step forward. I guess maybe what would you say is changed since that time that make sure you’re willing to do the share buybacks as well.
Steve Laut: This is Steve here. I’d say nothing is really changed that much we’ve always we tried to balance those four pillars and balance the returns of shareholders between dividends and share buybacks and it’s still the same, I think our bias is towards dividends but we will do share buybacks as part of that balance and I think we were effectively targeting to offset dilution and obviously part of that is with the stock prices makes a difference and so that’s maybe what the slight change in tone is, but it’s always been a balanced approach.
Philip Gresh: Yes and that’s fair enough, appreciate that the stemming of the stock price here. Corey just on the leverage target, the sub 2 times for the full year, is that inclusive of full 2.5% buyback?
Corey Bieber: No, that is not. We have not assumed in those forwards numbers that we would fully execute the NCIB, the NCIB would be opportunistic and is not contemplated in that number.
Philip Gresh: Okay, got it and just last question, on the opportunistic acquisition front, Steve there are some assets out there including some natural gas assets. I’m curious how you’re thinking about the opportunity for acquisitions nowadays, how does the market look to you in general relative to six months ago or 12 months ago in light of where pricing is both on oil and gas markets?
Steve Laut: I think, Philip, I’ll start off by answering any question if, your answer in acquisition is always the same. We don’t have any gaps in our portfolio, so we have no mean to do any acquisitions. So any acquisitions we do, they have to be a fit, they have to make sense and they have to add value and that’s where we look for. We’re not looking for gas acquisition or oil acquisition or any acquisition for that matter. We were looking anything that comes in our core area that makes sense, is a great fit and adds value and I know you talked about some gas assets out there. I would say the market hasn’t changed much what’s out there really isn’t a great fit for us, so we’ll see what happens but not a great fit.
Philip Gresh: Okay very clear. Thank you.
Operator: Your next question comes from the line of Amir Arif with Cormark Securities, your line is open.
Amir Arif: A couple of questions, just on the Horizon. The fractionation tower debottleneck opportunity, I mean the economics seem great, I know you will be firming that decision up in 2Q, but can you just give us some color on what you’re waiting for, to decide whether to ahead with that or not?
Steve Laut: I’ll give you a quick answer, if I miss anything here Tim will fill you in a more detail. So what really I greatly see the economics are awesome for doing the debottleneck on the fractionation tower. What we’re really trying to do and probably Tim could give you more detail here is and we’re trying to optimize that debottleneck, as you can see the production in the fourth quarter and here in January and February, at Horizon it’s exceeding design by quite a bit and we need to know where all the potentials bottlenecks are so, the fractionation tower we know is there, we’re just trying to make sure we got the optimum debottleneck that goes with that. There’s other probably little things that we can see that may do, we may have to upgrade some pump some places, maybe do some adjustive [ph] differences. So really Tim I guess, we’re just making sure we get it right, before be build. Is that correct?
Tim McKay: Absolutely, yes. We’re being very disciplined and as you can see with the production each month it’s been a bit stronger and we’re basically going through and very methodically and understanding each aspect of the plant, so that we can make the optimal decision.
Steve Laut: We’ll be ashamed, the debottleneck, and then found out we still have more capacity, so we’re trying to cover that all of.
Amir Arif: Okay and that’s good to know and then after you add, the next 80 [ph] expansion does that suggest you could be at, at 260 to 275 run rate instead of 250.
Steve Laut: Yes, I know that Amir. It’s - you can do the math and probably going to be higher than 250, probably 260 I would say. It’s probably safe bet one of the things that’s happened here on every expansion and we can’t actually give you a guarantee, but if you look at Phase 2A or actually run rate exceeded design 2B, looks like run rate is going to exceed design and that’s part of what Tim and his team are doing here, doing analysis what’s the chance of Phase 3, will actually see design capacity and what do we have to do if that happens, so that’s why we’re taking our as Tim [indiscernible] disciplined and methodically go through it and make sure you get it all covered on.
Amir Arif: Okay and the operating cost at that point in time, after you’re at 250 or 260, would it be closer to $20 a barrel or what do you think about that on that front?
Corey Bieber: Yes, we’re looking to exit, 2017 and about $120 a barrel.
Amir Arif: $120 a barrel, okay. Thanks and then one final question, just strategically Steve as you’ve lowered your corporate decline rate and got high margin net backs in there. Anything changed strategically in terms of how you’re thinking of growth going forward like do you plan to do more exploration or more longer lead time or more international just anything changed with the longer decline rate and the better corporate net backs going forward.
Steve Laut: I think it’s going to happen, Amir, as we talk quite a bit on the call, both Corey and I talk about balancing the four pillars of cash flow and how we’re going to allocate that. We’re going to keep that strategy in place and we’ll try to balance out between balance sheet strength and clearly you can see here in the fourth quarter. Most of that free cash flow went to the balance sheet better in the way and so that sort of gets up hurry to start here, but we’ll [indiscernible] as we go along between returns to shareholders you’re seeing the dividend increase here today. Resource development, we think we are at optimum levels. We have rooms, we can do more, if you want but there is a lot of bunch of bouncing factors there and opportunistic acquisitions and as I answered before, we don’t see any gaps from portfolio, with that being said we’re not afraid to acquisitions. We’re good at it and if something makes sense, it fits and adds value, we’d look at it.
Amir Arif: Okay and that was sort of my question was more just within the resource development side, so within the organic growth side, is there a shift that you would do just given the corporate decline rate and the netbacks.
Steve Laut: There’s no shift, we’ll keep at strategy. We’re all about adding value, creating value. So we don’t go for any particular product or area, where we create the most value and gives us highest return on capital that’s where we go.
Amir Arif: Terrific. Thank you.
Operator: Your next question comes from the line of Neil Mehta with Goldman Sachs. Your line is open.
Neil Mehta: Congrats on the dividend rise. As you think about the dividend, Steve can you talk about in quarter, what you’re anchoring yourself to, are you targeting a competitive dividend yield or percentage of tax flow from operations, what’s the math that the board is looking at as you think about where the appropriate place is set the dividend.
Corey Bieber: Hi Neil its Corey. We don’t target to any particular item, we think there’s danger in doing that. What we like to do is, make sure that the dividend is sustainable throughout the commodity price cycle, so we stress tested at various commodity prices and based on our capital programs and really try to ensure that we’re giving those returns to the shareholders, but making sure that it is sustainable through the cycle. So we, think that artificially pinning it 2% of cash flow or yield or whatever is can lead you to some bad answers, so it’s really focused on what makes sense over the long-term.
Neil Mehta: Appreciate that. The company announced $350 million of the midstream pipeline sales in 4Q. Can you guys talk about potential asset sale opportunities recognizing this is a consistent part of portfolio management, but do you see any meaningful opportunities as you go through 2017 to monetize non-core assets?
Steve Laut: I would say, something we look at all the time. I don’t see any major dispositions we’re always selling a little pieces in bits here as we go long, but nothing major. We have additional royalty lands or royalty assets that we may have disposed of as we go through 2017, but that’s not a material component of the company. It’s about 1,000 BOEs a day, so it’s a significant value actually, but not a major component strategically for the company.
Neil Mehta: Got it and last question from me is, this topic has probably been beaten to death, but the topic border adjustment tax here in the US. From your perspective any thoughts in terms of the political tax calculus and probability of implementation but also whether it would impacts, whether it’s on WCS pricing or as you think about the value of your Syncrude assets. As you guys have done some of the calculus within the Company, how do you think about any impact a border tax could possibly have?
Steve Laut: Well and sort of first probably saying, yes we’re not sure if there’s going to be a border tax, but if there a border tax, there’s many factors are going to it. Number one, what it would look like and what the impact would that have on oil prices themselves not only in the US, but in Canada, would we see oil prices in US go up, as they have limited quantity to feed the refineries. As you know there’s significant amount of oil imported at the US. It is a raw material so manufacturing or refining actually happens in US, so what does that mean. The impact is, what’s it is going to mean to Canadian Dollar. As you know most of our cost almost all our cost are in Canadian Dollars. So the border tax would probably have a big impact on the Canadian dollar, would drop our cost and would happen to our actually profitability and net backs after that, we may indifferent but it’s too early for us to tell, it’s speculation at this point.
Neil Mehta: Appreciated guys. Thank you.
Operator: Your next question comes from the line of Roger Reed with Wells Fargo. Your line is open.
Roger Reed: I guess maybe as a way to launch in here, talked a little bit in the various release documents about benefiting from lower service costs and I was just wondering we’re seeing more of an issue in the lower 48 on service costs starting to turnaround, but how should we think about that impacting drilling? And then what can you do or what do you think is still to be delivered on the drilling efficiency side to offset any of that?
Tim McKay: It’s Tim McKay here, yes we’re seeing some cost pressures across the board in some areas Grand Prairie probably more than other areas, where activities is pretty muted, but we’re seeing that pressure but at the same time, our drilling is being more efficient. Grand Prairie we’re 10% faster than we were a year ago, so it’s - we’re seeing by having the same crews working for us day-after-day we were seeing those efficiencies on the other side.
Steve Laut: Yes I think I would add, Roger what we’re seeing here is as Tim pointed out, it’s kind of slotty [ph]. In the Grand Prairie we have lots of Montney and Deep Basin activity, we’re starting to see some pressure mostly in refractories [ph] not so much on drilling. I would say in the rest areas and say particularly at Horizon on our expansion projects, we’re still getting cost coming in very good levels and actually seen some cost reductions still. So it’s spotty and as Tim pointed out I think the team is doing a good job of leveraging technology enhancing execution to offset those costs pressures that we’re seeing.
Roger Reed: Okay thanks. And then in your opening comment about the 11% annual decline rates, I was wondering is that number off the total production of the Company or is that strictly to the conventional side, excluding the stable long live production?
Steve Laut: No that’s the total company production.
Roger Reed: Okay so the CapEx number, is that then the amount of CapEx to keep it flat should we think about that as the total Company number or is that mostly applicable to the more convention type production?
Steve Laut: No that’s total rolled up for the company.
Roger Reed: Okay so we could get an idea what it would take to back out on the Oil Sands side? Okay I appreciate it thank you.
Operator: Your next question comes from the line of Greg Pardy with RBC Capital Markets. Your line is open.
Greg Pardy: Thanks good morning. Steve, really just coming back to Amir’s question this is same thing I was going to ask. Back at your June investor open house you guys I think Murray had alluded to a $20 a barrel OpEx cost at Horizon by 2020, so if I heard you guys right you’re saying you’ll exit 2017 at sub $20. So that’s obviously moving a lot faster than it had been expected to is that fair?
Steve Laut: Yes, I think obviously we’re very confident in June when we talked about it in at the Investment [indiscernible] but we’re making great progress the effectiveness and efficiencies that we’re gaining at Horizon combined with the, I’d say increase reliability and utilization have had a big impact on operating cost.
Greg Pardy: Okay terrific, thanks very much.
Operator: Your next question comes from the line of Frank McGann with Bank of America Merrill Lynch. Your line is open.
Frank McGann: Yes, thank you most of my questions have been answered. Just looking at the resource development pillar that you have and looking at what appears to be a fairly lengthy list of projects that you could do, I was wondering how you’re thinking now about the price cost and investment requirements for those projects and what it would take for you to become more aggressive and move faster perhaps in expanding your producing asset base?
Steve Laut: I think Frank, you look at our profile going forward with the capital program we have here in, at $4 billion range, we’re delivering 6% to 8% CAGR growth, we’re pretty comfortable in that range, obviously we could accelerate it, if we wanted, but the key thing is we want to make sure we maintain our capital efficiencies and by accelerating activity, you got to make sure you don’t inadvertently drive up cost and that’s what we are focused on.
Frank McGann: Okay, thank you very much.
Operator: Your next question comes from the line of Nima Billou with Veritas Investment Research. Your line is open.
Nima Billou: Good morning. One of the biggest questions I had was looking at your guidance across-the-board, there’s a wide range. I just want to go through what would account for ending up on the lower end of the range for production, let’s just focus on North America conventional thermal because Horizon is pretty well understood and what would account for ending up on the higher level production? Because there’s no real variability in your capital spend. Is it a question of productivity? I just wanted to get a sense why such a wide range?
Corey Bieber: Our range is pretty consistent, we use about the same range, we’ve done that probably for the last 10 years that same kind of percentage range, so it’s fair to account for variability if you look on the gas side for instance, we still have issues beyond our control with [indiscernible] transportation and third party outages, so we try to account for that, that’s probably the biggest range, now the rest is just to account for other variability I would say, Tim.
Tim McKay: Yes on the case of thermal, as you can appreciate when we do a thermal cycle the ramp up can be very significant and if you happen to move it at couple weeks, that can change the quarter significantly.
Steve Laut: So we try to give ourselves room on the range because what our focus here is to maximize value and we’ll adjust those cycles to make sure we capture the rate value and do the same thing here in the past, we have with lower oil prices cut shut back oil, shut in some oil. So I don’t see that happening here but we had to counter variability.
Nima Billou: Okay appreciate that. Someone asked the question prior, to get a sense you can kind of build it from the guidance you provided and I don’t have your mostly recent presentation where you’ve gone through that yet. What would be a normal course sustaining capital amount out of that $4 billion given? Is it just basically all conventional and then add in the sustaining number for Horizon so $2.5 billion a year? Just wanted to get a sense of what the sustaining number would be to maintain volumes?
Steve Laut: So to maintain volumes, our number is in that $2.7 billion to $2.8 billion that includes all capital for Horizon and conventional and we’d keep production flat at that range assume [ph] our cost structure doesn’t inflate.
Nima Billou: Appreciate that and looking at your op cost is there any opportunity like you’ve talked about debottlenecking with respect to volumes but are there any high return opportunities in investing and logics and processing to lower op cost? Because there has been a little bit of cost creep on the North American side. So are there any high return projects you can invest in logistics and processing to bring costs down?
Steve Laut: I don’t think there’s any big projects it’s just all sort of small gains, we make in efficiencies and effectiveness and Horizon I think it’s again about continuous improvement and we use that throughout the company but Horizon you see the biggest impact.
Nima Billou: And final question, thank you. Appreciate you, you said there’s no gaps in your portfolio but it's not necessarily about gaps. What about dreaming bigger? You guys have excellent operational expertise, long life projects specifically in SAGD, why not a combination with a [indiscernible], a big splash? I think it would make sense, you’d have project growth for decades, it would be material, you’re of a material size, is that you could execute such a transaction and you both have similar expertise in sort of SAGD assets as low cost operators.
Steve Laut: Yes we’re not going to do that, that doesn’t make sense for us. If you look at our terminal profile, we got decades of production growth here, matter of fact it makes actually probably no sense to do something like that because we’ve got our own, our organic value to grow.
Nima Billou: Okay, there’s just no value, you don’t see that value it’s better to focus internally.
Steve Laut: That’s correct.
Nima Billou: Okay, appreciate the candor. Thank you.
Steve Laut: Thanks.
Operator: [Operator Instructions] there are no further questions in queue at this time. I would now like to turn the conference back over to Mark Stainthorpe.
Mark Stainthorpe: Thanks Tiffany and thank you everyone for attending our conference call, this morning. Canadian Natural is an enviable position with a large well diverse asset base, a strong balance sheet and strong free cash flow generation, all supported by effective and efficient operations, long life low decline assets and high quality low capital exposure project. This all contribute to Canadian Natural’s robustness and the ability to achieve our goal of maximizing shareholder value. If you have any further questions, please give us a call. Thank you again and we look forward to our 2017 first quarter conference call in early May. Thanks again and bye for now.
Operator: This concludes today’s conference call. You may now disconnect.